Operator: Good day, and thank you for standing by. Welcome to the Atos Group FY 2025 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Philippe Salle, Group Chairman and CEO. Please go ahead.
Philippe Salle: Hello. Good morning, everybody. Thank you for joining us for this call of the full year results of 2025. I'm here in the room with Jacques-Francois, the CFO; and Florin, our CTO, because we're going to talk also a lot about technology. And of course, we're going to talk about the future of the company. So the agenda of today is 4 topics. The first one is the 2025, let's say, business and strategic highlight that I will manage. Then Florin will take the floor to have a tech update. And today, we are announcing 2 things with the launch of Atos sify and launch of our agentic studios. Then I will come back on operational and financial results with Jacques-Francois. We're going to have together this section. And then I will finish by the outlook, and then we'll take Q&A. So let's start with the first part, and I'm going to go on Page 6. So 2025 was the year for me of the reset. Remember that I want to have 3 phases, I would say, in the turnaround of the company, reset, rebound, acceleration. So '25 is a reset and '26 is the rebound. In 2025, first, we have a very good financial improvement with clear signs of recovery, we'll see that. Second, a significant progress, of course, of our Genesis plan. And the third is that we have a positive business momentum and a commercial, I would say, traction. If we go on Page 7, the key numbers of the company, first in terms of top line, the revenues at EUR 8 billion, EUR 8,001 million to be really clear, so above the target that we have set during the Q3 the last call, in fact. Operating margin, EUR 351 million, it's 4.4%. Just for information, that's the best margin we have for the last 5 years. And I think I'm very pleased to say that we have doubled the margin versus last year with a decrease in top line of minus 14%. And remember that we have guided EUR 340 million at the beginning of '25. Net change in cash, it's minus EUR 326 million, although we have accelerated, I would say, Genesis, and we paid in fact, EUR [ 250 ] million roughly of exit cost and it's better, of course, than our guidance that we say that it will be EUR 350 million or below. And then the liquidity, and we published this already in Jan is EUR 1.7 billion. So it's far above, of course, I would say, the covenant that we have in our debt package that is EUR 650 million. So we have ample cash to finish the Genesis plan. And in fact, this year, we'll be already cash flow positive and the debt, in fact, will go down. Now if we go on Page 8, you can see the inflection point in terms of revenues. So the fourth quarter and that's the figures we have published, in fact, in Jan was around minus 9%. So you can see, I would say, quarter-by-quarter that we had, in fact, a deceleration or, let's say, less momentum, I would say, better momentum in terms of revenue decrease. And then you can see also the number between Atos and Eviden and the organic growth that we have, which is around minus 9% in Q4. In terms of the OEM for the EBIT, the pro forma of '24 for the information we hold are that -- we have sold in '24 and at a constant exchange rate is EUR 1.72. So you can see that we have more than doubled the margin and the margin was beyond 2% in '24 and in terms of '25 is at 4.4%. And in terms of cash flow, the net change in cash was roughly minus EUR 700 million in '24, and we have roughly minus EUR 300 million in '25. If we go to Page 9, you can see also that the backlog -- the book-to-bill has also improved in the course of '25 at 94% for H2. And the total book-to-bill, in fact, for '25 was 89% versus 82% in '24. Now if we go to Genesis on Page 10, remember exactly, I would say, the plan that we have sketched in May '25 with the 7 pillar. This is, I would say, exactly what we have shown, in fact, in May. And I will now -- if I go on Page 11, a little bit deep dive on what we have done. So on the first pillar, we have reviewed the top 100 accounts, and it has, I would say, produced EUR 1 billion plus of opportunities. Remember that during the CMD, I have said that the number of business line per account was around 1.4, and we want to push it, of course, to 2 or above, I would say, that level. And then we have also in terms of growth streamlined, I would say, the processes and also with, I would say, a better organization in terms of sales with salespeople in the different geo than in [indiscernible]. In terms of HR, so we have reviewed the bonus framework. We have launched our LTI plan with a share plan for the top 200, and we have started also to have a leadership culture. And this year, we're going to push very hard on the AI culture. In terms of country reviews, so we have roughly 10 countries that are exited or in inactive. Remember that we want to go probably above around, let's say, 40 countries. We have also sold 7 countries in Latin America and also in Nordics, which is Norway and Finland. And this year, we want to continue to probably, let's say, close or inactive around 20 countries. In terms of portfolio review, first, we have sketched, I would say, the different branding. So you have Atos Group, which is the holding. And under Atos Group, you have 3 brands. Atos, of course, service, let's say, company, Eviden product and software and Atos Amplify, the new name that we are launching today for the consulting arm. So we have 6 -- in Atos, 6 business lines and 6 geos. And with Eviden after the disposal of the high-computing, we have 3 product lines. In terms of PM and GM, so in terms of project margin and gross margin, so that's the way we look at our P&L internally, you have revenues, project margin, gross margin. And then EBIT margin. So we have, I would say, a plan, remember that we are looking at EUR 650 million of savings, and we have already achieved 88% of it, EUR 350 million roughly are in the P&L in fact of '25. And EUR 200 million more to come in the course of '26. We have increased the reliability ratio by 3x. We are now above 80%. We have also continue, I would say, to push the offshoring. And as you can see, we have also a different, I would say, actions on the reduction of the -- It's just switching, I would say, a bench people. We prefer, of course, to use I would utilize people on the bench and of course. Just for information, very important, the discipline also on the new contracts we have signed. Remember that we want to have a margin of 25% to 26% in the future. And in fact, if you look at without the black contracts, we are already at that level. And on average last year, we have signed roughly all the contracts on the book-to-bill and for the EUR 8 billion plus -- EUR 7 billion is around 24%, which is roughly 2.5% above what we have done in the course of '24. And it's very important to understand that we could have probably a better book-to-bill in the course of '25, but the idea was really to protect the margin, and I prefer to say no for some tender, then I would say, to have, let's say, more revenues and less margin in the future. Pillar 6 is the cost review, it's the G&A. So we have done a lot of things there for your information, we reduced the G&A by roughly 26%. Remember that the target we have in G&A is 5%, and we are close to 6%. So we still have 1 point to gain in the course of this year and next year. And then in terms of cash for the Pillar #7, the DSO is at target. We have reduced over by 13%, reduced all the, in fact, by roughly 27%. And we have managed quite very well, I would say the CapEx, and we felt good, we are roughly at EUR 100 million plus. Just on the bottom, you see also that we have completely reviewed the target operating model and also the government has been satisfied. Now if we go on Page 12, today, we are launching, as I said, 2 things. I'm going to talk on Amplify and then we're going to talk on the Agentic Studio with Florin. So Amplify, that's the consulting arm or body, I would say, of Atos, still the brand of Atos because it's very linked to the services that we provide with Atos. And the idea is that we're going to refocus Amplify on AI. The idea for us, it's a door opener, in fact, in artificial intelligence that will help us after that, of course, to push the studio that we are going to. In terms of workforce on Page 13, we are now at 63,000. So you can see the hiring, the levers and also the restructuring we have done. And if you want to see without Latin America and without view, we are close to 57,000 people. That's the number of staff that we're going to have after the divestment. Last, on Page 14, that's the order book. So we have roughly -- we have the key numbers. As you can see, the renewal rate, in fact, is 92%. It's not bad. I want to have a little bit more this year. And in fact, in this year for the large accounts, what we call the large bit over EUR 30 million per year, we estimate that we're going to win most of them or all of them, in fact, a number of strategic deals 19. It was 10 in fact in '24. And there is a good traction in fact, in cloud, cyber and data AI where the business line we are pushing more than the rest. You can see, I would say, different names on the, I would say, extension or win. And for Siemens, of course, we continue to work with them. We're going to do probably EUR 250 million, in fact, the course of '26. Last on Page 15, just to also recognize that we also continue, I would say, to be recognized as a sustainability in the IT sector, it's very important. So we have won or renewed, I would say, some award in terms of sustainability, you can see it on the left and then many business awards from the analysts that we continue to have in the course of '25. I go quite fast, in fact, because I think it's very important that we spend some time on the technology today because there have been a lot of buzz on AI and probably a completely crazy movement for me on the share price in a different company as -- and we estimate in fact that for us, we are very well placed in AI. And in fact, we don't do BPO that is probably, I would say, the business that is going to be attacked for me by Agentic. And definitely, I think that there is a big opportunity for us, in fact, with AI going forward. So with this, I'll give the floor to Florin, who is in the room with us, and he's going to talk about you about, I would say, the AI and the agentic we're going to launch this year, in fact, today.
Florin Rotar: Thank you so much, Philippe. Good morning, everybody. Thank you for joining us. Delighted to be here. So what I suggest we do for the next few minutes is for me to walk you through the way that we see the market developing in general in the space of technology, and I will double-click on AI, of course. And I will share with you how we are planning on attacking and delivering this very exciting space. So I'm sure you're well familiar with the fact that global AI spending is booming, a lot of increase in AI infrastructure, AI services, AI software, AI cyber. And we genuinely and truly believe that Atos is very well placed to win in all of those areas. We do have some very strong moats. So the background and the history of Atos, as you all know, is to work and help our clients in highly regulated environments where security is a top concern, where sovereignty is increasingly becoming a priority, where the IT landscape is very complex and where a lot of the systems are truly life and death and are genuinely mission-critical. And what we see happening is that in all of those environments, there is a flywheel convergence happening between sovereignty, AI and cyber. And the fact that we have this decades-long managed services relationships with the clients, the fact that we have really deep know-how of their environment of their data has truly enabled us to progress very fast into packaging those into agentic AI as a service offerings, and I'll cover this in more detail. As you know, the technology space is quite complex right now. It's evolving super fast. There are daily announcements front and left, right and center. And our clients are really hungry for a level of clarity and assurance. And I think we play a very important role as if I'm allowed to use the word Switzerland of governance. The ones which are able to provide secure cross-platform neutral agentic AI. And we're doing this through a very exciting set of partnership with the big players, but also through a set of unique partnerships with AI native and sovereign start-ups. So let me double-click on all of this into more detail. So if we go on the next slide, what you'll see is the 3 big bets for Atos going forward. We believe these 3 pillars are going to be substantial drivers of growth for us in 2026 and beyond. The first one is mission-critical agentic AI. This type of agentic AI is fairly different to the type of AI that is most commonly mentioned in media. When you're doing agentic AI in really complex regulated environment with high level of governance, requirements around sovereignty, reliability, security and responsibility, the type of technology and the type of services is fairly different. We're also seeing digital sovereignty be super important for our clients. And actually, this is the case in North America, in Europe and international markets as well. And what we're doing is that we have embedded digital sovereignty as a core design principle across all of our portfolio. And last but not least, cybersecurity, of course, continues to be a high area of focus. Developments in AI are, of course, helping us to deliver cybersecurity services in a better, faster and more efficient way. But AI actually, of course, also opens up new attack surfaces and new potential vulnerabilities. So what we see happening is that there is this flywheel of self-reinforcement powers between AI, sovereignty and cyber. And we believe we have the right to be winners in all of these 3 areas. So sovereignty, of course, requires security controls to be able to be fully enabled. Sovereignty is, by definition, more complex than non-sovereign solutions, and therefore, AI can play a role to make them more affordable and more innovative. As I mentioned, AI has a huge impact on security. There is a quest to secure AI, but also to use AI to drive more security solutions. So you will hear us going forward really focusing and doubling down on these 3 areas. And what I would like to do is to double-click into each and every single one of those to give you a flavor of what we're doing, the success we've seen so far, what we see happening in the marketplace and to give you a glimpse into the future. So if we go to the next slide, Slide 19, we are very excited to have 4 Atos sovereign agentic studios come out of stealth mode in U.K., in U.S., France and Germany. This will serve the local markets based on their needs, the focus industries, their requirements, and they're all built for truly mission-critical production from day 1 with extraordinarily high focus on the topics which make AI adoption at scale more difficult in most organizations, which is governance, sovereignty, reliability, security and responsibility. So the reason we're launching the studios is that we see that our client spend is converging services and technology budgets into a unified value pool. This value pool and the size of those budgets are increasing, of course. But they're also a very high demand for measurable value generation at scale. Everybody is sick and tired of pilots and proof of concepts and prototypes. Organizations really want to make sure that they have AI, which is secure, which is reliable, which adds business value at scale. And the main challenges in this space is governance and orchestration. And this is where we believe that Atos is an absolute key power player. And then we're actually also seeing sovereignty emerge for AI as a very high priority. So our clients are very happy to use closed black box models for the typical back-office functions, which are important, but which are not differentiated. But they actually are increasingly becoming wary of developing their own brains, so to say, so they own their future, and they have full control of their data, the controls and the intelligence, which they're building. So we are very excited to announce a unique partnership with one of the absolute leaders in foundational models for agentic enterprise, which is [indiscernible]. And this will allow us to deploy and develop sovereign solutions in Europe, in North America, in international markets. And this will help and is helping already our clients to harness the full power of AI on their terms and without compromise. We're, of course, also working with the major market leaders here such as Google Cloud, SAP, IBM, AWS, Microsoft. As a little anecdote, we've just received Frontier partner status with Microsoft given the fact that we're one of the leading organizations leading the path around AI and innovation. But we're also working with this really interesting set of AI native start-ups, which allow us to add unique value across the entire value chain of AI. So we're using KYP, which stands for Know your Potential to help our clients mine and redesign processes and to really understand the business case and the value generated with AI on a very specific and data-driven manner. We are working with the likes of EMA and [ NAN ] as to create and orchestrate and manage the digital AI employees, the agents. We're working with AI to really be able to measure and value the highly, how should I put this, movable cost of AI consumption and to have the causality and the correlation to value. And we're working with clarity around helping our clients drive this continuous change. And we're using all of this technology for our own back office and front office transformation as well. So I know I've used a lot of words here, a lot of concepts, but let me move to the next stage and try to make this very real for you with a number of client examples. So to be honest, we have more demand than we can almost handle right now. We have incredible interest in this agentic AI studios and just sharing with you a couple of examples here. One is Scottish Water, where we're working together to really transform the way they are doing operational planning, risk assessment, decision-making across the entire national and wastewater networks. And this is really mission-critical environments where AI agents are used to continuously monitor the network, to analyze proposed changes to automatically generate contextual risk assessment. And as you can imagine, this is the type of AI, which really needs to work, which really needs to be secure, which really needs to be accurate and timely. Another example is Defra, the U.K. Department for Environment, Food and Rural Affairs. Their mission is to make the air purer, the water cleaner, the land greener and food more sustainable. So obviously, very important mission and vision. So what we're doing with Atos is that we're using a new set of highly differentiated agentic AI solutions we have developed to rapidly modernize and transform their entire application portfolio. We call those digital transformation engineers. They're AI agents which work in collaboration with our human experts to achieve things which frankly wouldn't have been possible to achieve just a few months ago. So we're seeing a close to 30% time-to-market efficiency gain around how to modernize those mission-critical applications. Another example is mBank. We are really working very closely with them to develop their entire advanced digital foundation. And again, this is not AI, which is an add-on. It is mission-critical AI, which is being used to improve operational resilience, to create real efficiency in their business, to manage risk and to really make a difference around their customer experience. And there are many, many, many more examples of this. So we're very proud about this sovereign agentic AI studios, much more to come in this space going forward. If I go to the next slide, I'd like to share with you a perspective around how we're approaching the sovereign space. So what we see is that clients, they have an increasing desire to retain control, authority and accountability over their data, their infrastructure, their applications and digital operations and to have this be in compliance with all the applicable regulations to minimize dependency, exposure and disruption risk. And I think it's important to note that this is not just a European development. We see sovereign requirements being very high in North America as well, both in United States and in Canada and also in our international markets. And in actual fact, there are data points which point to the fact that over 80% of requirements from clients going forward are going to include a critical demand for sovereignty. And this is a massive business opportunity. It's currently estimated to be in the EUR 40 billion to EUR 50 billion of total addressable market, and it is growing quite fast. And frankly, we believe that we are one of, if not the best player in this space. I'd like to draw your attention to the quote on the bottom right corner from one of the leading independent analysts, which is basically and I'm quoting, "Few players can claim the unique combination offered by the Atos Group, an umbrella of sovereignty, which provides the whole with an unprecedented coherence." So we are able to do this in a variety of models because sovereignty takes different shapes and forms in different countries. What U.K. means by sovereignty is slightly different than what France and Germany means by sovereignty, which is different than what U.S. means by sovereignty and so forth. So we're able to offer this full spectrum of solutions ranging from enhanced native clouds to controlled clouds to trusted clouds to disconnected clouds to fully sovereign AI, as I mentioned previously. So I would like to give you, again, a little example of this. One of them is Eurocontrol. Eurocontrol, you might be familiar with, they are the organization, which manage and control the European skies. They are providing a really mission-critical service to the entire continent. If their systems and operations wouldn't work, then flights would not fly, that would obviously have a very, very high impact on the entire economy. So what Atos is doing is that we're one of their leading partners to ensure the strict resiliency, safety, security compliance requirements around the entire IT value chain. And we do this in a way which is coherent, is aligned with the industry regulation and generally spans infrastructure, application, artificial intelligence and so forth. And this is a solution where we are partnering with Microsoft as well around the Azure cloud. If we move on to cyber, that is, of course, a very hot topic and it continues to be so. And what we're seeing is that AI security has really changed the game. So it's become the primary focus area for the way our clients spend. AI is truly redefining threats, defenses and vastly expands the attack surface. And cybersecurity is shifting to an always-on compliance model where our clients are requiring very much verifiable controls and sovereignty aware architectures. And again, this is a space which is moving super fast and really redefining the game. So to give you a little anecdote, it is estimated that there are 80x more machine identities in any organization today compared with human identities. And this is, of course, because of the advent of agentic AI. So that type of AI where you have agents which perhaps only need to have split second life cycles. They need to be controlled. They need to have verifiable access controls. They need to be spun up and potentially terminated in under a second really redefines the rules of the game. So we believe that we are super well positioned in this space. We have very much an end-to-end best-in-class set of cybersecurity services ranging from advisory which, Philippe just mentioned. We have very much embedded AI agents in our entire life cycle of threat intelligence, threat detection, investigation and response. We're also, we believe, one of the market leaders in post-quantum cryptography. And of course, with the Eviden Group, we have some fantastic EU, European sovereign cybersecurity products. So again, to make this real, I'd like to give you a sense of the work that we're doing with the European Commission. This is one of the most important cybersecurity services in Europe, full stop. And Atos is on point and has won a substantial framework agreement to provide operations, incident response, digital forensics, threat intelligence, threat monitoring, offensive security in the areas of vulnerability management, penetration testing and red teaming. And again, I draw your attention to a number of independent analysts, which continue to recognize us as a market leader in the cybersecurity space. So let's move on to the next slide and try to give you a big picture of where we're at and how we see AI impacting our businesses. So this might be a little bit of a busy slide, so please give me a chance to walk you through it. So at the bottom of the slide, you're seeing our different historical business lines with data and AI, cyber, Eviden and so forth. Then the Harvey balls are representing the way we see AI impacting those specific business areas. So on the top row, you're seeing how AI is impacting the addressable market expansion with the full Harvey ball, meaning it is very high expansion, i.e., more opportunities for us or a limited partial Harvey ball demonstrating or indicating a limited expansion. And then the AI top line pressure row is basically a way of indicating how we see AI impacting or having the potential to impact our top line revenue ranging from low to high. So all in all, all in all, we see AI being a strong driver for growth in Atos. We are very much on the offensive. We believe that AI is a game changer, and we are super well positioned in this space. But the important bit to mention here is that we have a leading position in a number of these building blocks in the colorful table below. But what we are doing very successfully is to combine and recombine them into this 3 big bets that I've been talking to you for the last few minutes. So again, please remember the growth engines of Atos are agentic AI digital sovereignty and cybersecurity. And we're seeing substantial opportunities and a lot of momentum in those areas. And we truly believe we have the right to win. So moving on to the last slide as a little bit of summary. We are still going through a massive transformation. We've turned the corner. We are reimagining and we have reimagined the entire technology function in Atos. We're attracting some absolute top-notch talent. We have done a full portfolio redesign, doubling down on agentic AI and AI in general, digital sovereignty and cyber. We have a very unique and differentiated approach to sovereignty and security. We're boldly and ambitiously embracing this new world of services software where increasingly, we are building very unique, very specialized AI solutions powered by software to augment and enhance our services. And the Agentic Sovereign Studios, which we have just launched are really a showcase of much more to come. We really look forward to sharing with you progress and a lot of success in this space. So having said that, handing over to my colleague, Jacques-Francois, to walk you through some interesting numbers.
Philippe Salle: So thank you, Florin. I will take the lead before Jacques-Francois if that's okay. And in fact, Florin, you're right, we're going to have a special press release on the agentic next week on the other. We're going to much comment, let's say, much more in detail on what exactly we're going to do in the coming weeks and months, of course. So now going back on the number -- topic #3 on the presentation. So we go to Page 26. So you can see the revenues of '25 versus last year. We call also the pro forma without the foreign exchange and scope. Scope is world grade, of course, in '24. And as you see, minus 14% in terms of sales. If we go to Page 27, you have the EUR 8 billion between Eviden and also Atos in blue. And then in the different countries, Germany is #1, North America, France, U.K. and an international market and what we call BNN, which is Benelux, Netherlands and Nordics. And if you look on the right, this is the EUR 7.2 billion, that's the pro forma of '25 without Latin America and without BNN. And you can see that the base we're going to rebound for this year. And you see now, I would say, what is the split of revenues between Eviden, now, of course, much smaller on the EUR 300 million plus and I would say Atos with different yields. Now if we go to Page 28, I'm very proud to say that we have doubled the margin in terms of EBIT and in terms of percentage more than that. So pro forma in '24, we were at EUR 172 million of EBIT, and we -- last year, we touched the EUR 351 million. So it's more than doubling in fact, the profitability and also a margin at 4.4%. And as I said, that's the biggest margin we have since 2021. Now if you look at the operating margin by geography on Page 29, I will not go into detail but you can see on the left column, that's the results of '25. And on the right, that's the pro forma without -- and without Latin America. So that's the rebound. So the EUR 7.2 billion and EUR 314 million, that's the base impact of the rebound for '25 -- '26. Now I will go very quickly on the different business units. But you can in fact that in Atos for the 6 geos, we have done quite a very good job. Germany, we start first minus 10% on the top line. So tough year. We know also that some of the clients have decided to exit. For example -- of their platform. So it was nothing to do with Atos. Germany is for the first time probably of many years on a positive territory. And as I said to you, this year, we'll be probably close to EUR 100 million. I think the budget is EUR 90 million. So we have, I would say, with Genesis, more to come, of course, in the course of '26. Atos North America on Page 31, that's the area that has been touched more, I would say, in terms of top line. A lot of clients have been frightened in the course of '24 and we -- they stopped, of course, some of the contracts. But as you can see, of course, the EBIT in terms of quantum is less than '24. But in terms of margin, we are double digit, and I think it has been a very good job done by the U.S. team. Now if we go to France, the decrease is around minus 10%. And also, I would say, however, we have a decrease in terms of top line. We have been able, I would say, to stabilize the earnings a little bit more, in fact. And of course, with Genesis, there is more to come in the course of '26. U.K. and Ireland also is an area on Page 33, where we have had also a -- it's like in the U.S. In fact, it has been a tough year because of a lot of clients stopping to work with us and stopping contracts. But as you can see, we have been flat in terms of EBIT and roughly at EUR 83 million versus EUR 82 million. But in terms of margin, we have increased the margin by roughly 1.6%. International market is down also at minus 15%, but we have more than doubled the profitability. We have done a very good job, in fact, in the Genesis transformation in different countries in Middle East, in also South Europe and also in Asia. And last, Benelux, where I would say probably we have been the more resilient in terms of top line. And so we are on Page 35, minus 4% in terms of organic -- inorganic growth, so a decrease in terms of organic, let's say, and a very, very good job from the team on the bottom line. As you can see, we have multiplied by 10 the EBIT with a margin around 7%. So as you can see, in fact, despite, of course, the top line, I would say, pressure, we have been able, I would say, to manage very well the bottom line. Last slide on 36 is on Eviden. Of course, this is the part that is growing and mainly of the advanced computing activity. This activity was losing money, in fact, in '24, and we have done quite a good job to restore some profitability. It's still too low for me. But definitely, there is more to come in this business unit. With this, I hand over to Jacques-Francois to go more on the P&L and balance sheet.
Jacques-François de Prest: Okay. Thank you, Philippe. Good morning, everybody. Now that Philippe has gone through the drivers of our business operational performance, let me walk you through the P&L items below operating as well as the cash flow statement and the balance sheet. So as Philippe indicated, our operating margin amounted to EUR 351 million in fiscal year '25. We incurred reorganization and rationalization charges for EUR 642 million in total, of which EUR 540 million reorganization costs as we made significant progress in the execution of our restructuring program and EUR 102 million provision related to leases and real estate asset impairment. We impaired EUR 166 million of goodwill this year as a result of the upcoming disposal of the Advanced Computing business. Other items reached a negative EUR 331 million. They included losses related to some onerous contracts for EUR 123 million and litigation provisions for EUR 145 million. The net cost of our debt reached EUR 333 million, up from EUR 178 million last year, reflecting our new debt structure post '24 refinancing and including PIK interest as well as the amortization of 2024 fair value adjustment. Other financial expenses were EUR 102 million in fiscal year '25 due to debt lease pensions and provisions on nonconsolidated investments. As a result, our net income group share amounted to minus EUR 1.4 billion. On the next page, we see the cash flow generation, which improved significantly year-on-year from minus EUR 735 million in '24 to minus EUR 326 million in fiscal year '25. We generated EUR 883 million OMDA in fiscal year '25, and we expensed EUR 170 million in CapEx and EUR 278 million in leases. Our change in working capital requirement, once we neutralize for the working capital actions, you recall that the unsolicited cash received in advance from some customers, this amounted to a positive EUR 33 million. It essentially reflected a lower activity level in 2025. Going forward, we expect further sustainable working capital improvement. Our cash restructuring expense was EUR 445 million. As expected, cash out accelerated in the second half of the year. Tax paid was EUR 31 million and cash cost of debt EUR 160 million. Onerous contracts and litigations amounted to EUR 157 million. As a result, our net change in cash was limited to EUR 326 million, better than anticipated despite higher restructuring costs, cash at EUR 445 million. Now the net debt as at December 31, '25. The net debt was EUR 1.8 billion compared to EUR 1.2 billion as at December 31, 2024. Beyond free cash flow, it reflected the impact of the change in working capital actions for EUR 43 million, negative ForEx impact for EUR 104 million and other elements such as the PIK component of the debt. Net debt consisted firstly, of cash and cash equivalents for EUR 1.265 billion. And secondly, borrowings for a nominal value of EUR 3.64 billion. As at December 31, '25, the group financial leverage ratio was very similar to the end of '24 level at 3.17x. I remind you that our target is to reduce leverage below 1.5x at the end of the year 2028. Thank you. And I now hand over back to Philippe.
Philippe Salle: Thank you, Jacques-Francois. So let's go over to the section, which is the outlook. So on Page 42, first, we want to come back on what is Atos -- do that we will give the keys at the end of the month, in fact, the end of March without also Latin America that we have sold and the closing is expected in fact in April and also the small divestiture that we have done in the Nordics. So on the left side, you can see that the revenue is EUR 7.2 billion. Operating margin is EUR 314 million and that's the pro forma without, as I say, the new perimeter, roughly 57,000, 58,000 people without -- in Latin America and 54 countries of operation. And as I say, we want to be below the 40 threshold, so we continue to reduce the perimeter in this topic. On the right, you can see the different business lines, the different geography. #1 market is now Germany. North America, #2. France, #3. And U.K. and Ireland, #4. And as you can see, these 4 countries is roughly more than 70% of our total revenues. And then you can see also the industries. Now the financial ambition is on Page 43, and I know that a lot of people are waiting this moment. So the guidance for the 3 elements, which is top line, bottom line and cash. So on the top line, we are looking for a positive organic growth. That's the budget that we have internally. But we want to say that there is also a downside scenario possible that is limited to minus 5%. So it's very important that we are cautious. We don't want to over give, I would say, confidence. It's very important that we deliver the numbers that we announced. And that's why we say that, of course, the budget is and our target internally is to grow. It could, I would say, there are some less good news in terms of top line. The maximum we can see this year is minus 5%. And remember, it went over minus 14%. So of course, the first half year will be negative, and we estimate that we will be probably around minus 9%, minus 10% in Q1. And then it will, of course, stabilize in Q3 and a rebound in Q3 or in Q4. Operating margin around 7%. So it means that it's indeed, let's say, around EUR 500 million. So it's an increase by 60% versus '25, which is very important. And we are on, I would say, to the journey to touch this 10% margin by '28 and a positive net change in cash. So it's without, I would say, a divestiture of course, of -- So it means that with the cash that we're going to produce this year plus, of course, the cash we're going to have from the M&A, the debt will be reduced. The EBIT will increase. So the leverage for sure is going to decrease strongly, in fact, in the course of '26. And we are very, I would say, very confident that we're going to produce cash this year. And I think it's the result, of course, of this Genesis plan that we have accelerated in the course of '25. Now for '28, we continue to say that the 3 phase, as I say, reset in '25, rebound in '26, accelerate now in '27 and '28. We continue to see an acceleration of the top line between 5% and 7%. We track probably do better than that. Still looking at an operating margin around 10% and of course, deleveraging to be below the 1.5% net debt by the -- the way we calculate this in the course of '28. So to have, let's say, a profile of BB and BBB probably in the course of '29. That's the goal we have. Now if I have to sum up, I would say, what we have said today with Florin and Jacques-Francois. So on Page 44. First, we have a restore the foundation of Atos. We are very pleased to say that we have met or exceeded, I would say, the financial guidance that we have set. We have done a lot of job, in fact, in the commercial strategy, and I definitely think it's going to yield a lot of results. In fact, I would say the Genesis cost, it's a 1- to 2-year effect. We have done most of the plan in '25, we will finish in '26. And the rebound, it's a 2-, 3-year effort. We have done a lot of job in '25. We're going to see some of the results in the course of '26 and I definitely thing that we're going to accelerate in the course of '27. As I said, the Genesis plan, we have done roughly 88% in terms of savings. It's a pro forma. So we have, of course, part of it in the P&L of '25, and there is more to come, of course, in the P&L of '26. Second, I think we are very well placed for the AI journey, and I think Atos has as a unique position. We're going to reinforce, as I said, the 3 tech pillars that the Florin has said. So agentic AI with the launch of the studios, more to come next week, sovereignty and in cyber. And remember also that we have launched also the consulting we rebranded, I would say, the Atos Amplify. So today, we are announcing the launch of Amplify and also the launch of the Agentic Studio. And we have, in fact, a new website that you can see on the Atos group. And then we have quite a promising outlook on the right part of this page. So stabilization in '26 with a rebound in H2 and then acceleration of top line and of course, production of a lot of cash in the course of '27 and '28 when we can probably resume M&A, we'll see if there are targets that are interesting, but it's also possible that we do probably less because we estimate that with agentic, we have a lot of opportunities we're going to have we probably will try also to invest also in the company more in our studios. With this, I turn to the Q&A session that is open and then I will give the floor to Florin or Jacques-Francois depending on your questions.
Operator: [Operator Instructions] The first question today is from Frederic Boulan from Bank of America.
Frederic Boulan: Two questions for me. Interesting discussion on your AI offering. Would be keen to understand how you define your competitive edge versus your key global competitors and players. And more broadly looking at your midterm targets, 5% to the kind of growth ambition, what kind of upside have you -- do you anticipate and have you penciled in on that kind of segment versus potential pressure on traditional, I mean, digital transformation, as you mentioned on that slide? And maybe as a second question, is there any -- would be good to have an update on the kind of current pricing environment any kind of areas of your business where you do see kind of margins going down on new projects. I mean you mentioned some of competitive bids where you walked away. But where you do see already today Gen AI driving some price deflation?
Philippe Salle: So in fact, Frederic, you have to understand, I think the slide of Florin, which I think is not the most important, but I would say in the Page 23. The way we look at it is very simple. In fact, AI is going to touch the company in 2 types of impact. There is an impact on the coding, so the digital applications where we definitely think we're going to go faster and cheaper. And that's why we said there is an equal to negative impact. But here, in fact, what we see is that we're going -- it's not going to impact the top line that much, but we're going to produce much more for the same price. And what we see from CIOs and the budget right now is that they are accelerating, in fact, their plan because there is a lot to do, in fact, in digitalization in many companies. And in fact, we can probably -- do probably twice as much that we were able, I would say, to provide in the past. We definitely think that, in fact, with AI, coding and testing is very simplified, and we can produce much more than we have done in the past with probably less people. And -- but for us, I think there is no impact on the top line. It's just the fact that we're going to accelerate the project and we're going to provide more. The second impact for the rest is the agentic studio, so the AI on our operations, for example, on CMI, et cetera. And there, we definitely think that it's a big opportunity because we definitely think that with AI, we're going to provide more services or accelerate, for example, some work that we ask, I would say, by the client. So we don't see for the moment, for example, for a big tender, we're going to announce one probably in the course of March, a very big one. We -- and it's a very long contract on CMI. In fact, the margin is up because also we apply also agentic on our own delivery. We pass, of course, some, I would say, the savings to the clients, but we protect the margin of Atos in fact in the future. So we -- that's why we say we are quite positive. Probably Florin, you want to answer on the strategic, I would say, advantage or competitive advantage we have versus the competition.
Florin Rotar: Yes, sure. Thanks. So if we go to Slide 17, I'll give you a summary of it. So I think one of the key differentiators is the fact that we have this very long relationships and know-how with a number of really important clients. And what we've been able to do is to bottle up this decades-long insights and data from running hundreds, if not thousands of managed services and long-running engagement into a series of agents, which are sitting on unique Atos foundational models. So if you remember previously in the presentation, I mentioned our collaboration with Poolside. So we are creating a frontier level model, which is Atos native, which packages up this know-how developed the processes and the data built over decades, which we're providing on an Agentic-as-a service model. I think the other differentiation we would have is this experience of working in highly regulated, secure mission-critical environments. So you need to remember that most of the time when people talk about AI today and agents, it's around things like customer service or B2C or call centers. And AI is, frankly, fairly easy to implement in those environments. The accuracy just needs to be good enough. And to be very direct, if a customer who calls a call center does not get the right answer, the sky does not fall down. On the other hand, the type of agentic AI that we specialize in, like the super mission-critical one, it's a completely different ball game in terms of robustness and industrialization. So if our AI agents would not work properly when there is a flooding in Scotland, then we have a serious problem. If the AI solutions that we're creating together with Eurocontrol would not work properly. Well, then you have massive flight delays in Europe and the entire economy loses $1 billion a day. So I think this know-how we have based on our heritage of working in areas which some people consider non-sexy, if I'm allowed to use that word, it's turning into a competitive advantage for us. We really know how to make AI work in those environments. And you see some of the recognition we have in this space. So ISG has recognized us as an absolute leader in advanced analytics and services. We've just made a leader in all market segments with Nelson Hall around transforming business operations with Gen AI and so on and so forth. So to summarize, we are neutral. We're the Switzerland of governance. We know how to make AI work in this super difficult environment. And we have bottled and packaged this know-how into unique models and unique agents, which nobody else would be able to replicate.
Philippe Salle: Thank you, Florin.
Operator: We'll now take the next question. This is from Nicolas David from ODDO BHF.
Nicolas David: I have 3 questions on my side. The first one is regarding the cash guidance. Can you help us reconcile how this net change in cash you expect for 2026 is comparable to what could be a free cash flow to equity definition? What could be the difference between the 2 in terms of cash collection or cash outflow? The second question is regarding the provisions you have passed in 2025, the EUR 123 million on onerous contract notably. Can you help us understand if it's just a cost overrun on this year -- on last year, and it was linked to cash out last year? Or is it a provision for multiyear upcoming losses on the contract you identified? And do you expect more in 2026 if you review more contracts? And also regarding the litigation, when do you expect the potential cash out? And the last question I have is what is -- what would be your strategy regarding the debt refinancing given that the debt market for tech companies is getting more tight right now?
Philippe Salle: Okay. I will just answer the last question, and then I give the floor to Jacques-Francois for the first 2. As we say, the door is open for us to renegotiate the debt after 1 year, in fact, it was on December last year in '25. And as you -- what we have done is that we are prepared, I would say, to take any opportunity to refinance the debt. And as you said, right now, the door is closed just because the markets are not in a good shape. So we will wait until I would say there is an opportunity. So we will see. So it could be in March, could be, I would say, in different other period. I think the message is that we are ready to do part of the refinancing as soon as the door is -- I would say the window is opening again, we will probably decide an opportunity on this, okay? So we'll see what happens in the course of '26. I don't have a crystal ball. It's difficult also because, of course, you said for the tech, it has been shaky, I would say, in Feb. Now with Iran, I'm not sure it's going to be less shaky in the course of March. So let's wait and be patient. But if there is an opportunity, we're going to take it. Now for the two first questions, I'll let Jacques-Francois answer to answer.
Jacques-François de Prest: Yes, Nicolas. So the net change in cash is the way we call internally this free cash flow, which you're referring to. There are no reasons for differences just in our guidance, we are excluding the repayment of debt. We keep in there the interest to serve the debt, but repayment of debt is excluded, so is FX impact, so is M&A. So that's the first question. Second question is regarding the provisions for onerous contracts and other items basically. So in terms of onerous contracts, Philippe has mentioned quite regularly in the calls that we had still a couple of significant black accounts on which we are losing some money. We have, can I say, the duty to assess these contracts regularly. Of course, management is trying to mitigate with action plans to reduce the losses. And to be clear, we're also trying to exit. But so far, we are bound. So in our reviews at the end of fiscal year '25, we have decided to provide more for future losses. So at this stage, you should not expect additional provisions to be added in '26 because the review we have done is quite prudent and should be comprehensive to cover all the future. And in terms of litigation, well, by definition, it's a bit uncertain and it doesn't depend on us. So I'm afraid I cannot give you really a timing for the cash out of these provisions. But you will recall that the bulk of the litigation provisions has already been booked in H1 '25. So there is not so much which has been added in the second half of '25.
Philippe Salle: And in terms of black accounts, there are no new brand accounts, so don't worry. We are -- as I say, we have signed quite a very healthy project, and we are still managing the last 2 accounts in the U.K. Again, one account should finish mid-'27. So that's the goal that is to stop one. And the second one, we are in negotiation also to stop it, but the end of the contract is 2034.
Operator: We'll now take our next question. This is from Sam Morton from Invesco.
Sam Morton: So in the release, I think you talked about considering to repurchase bond debt. Can you talk a little bit about what that would look like? Is there a particular tranche that you're looking at? Or is that just sort of repurchasing across the board? And then I'd like to dig into the refinancing. Obviously, the window is challenging at the moment. But when you think about the refinancing, is this a piecemeal approach? Or will you -- are you looking to do all of the refinancing of the first lien and the 1.5 lien at the same time?
Philippe Salle: So I would say on the refinancing, the goal is first to refinance the 1L because it's 13% and we definitely think that we can be much cheaper right now with B- and also with a positive outlook. And then after that, if we can do 1 and 1.5, of course, we will do both. I would say it will depend on the depth of the market. But I would say 1L is more important for us just because it's too expensive. The 1.5L in fact, is cheaper and it's around 8% plus in terms of yield. So 1L is the priority. But if we can do 1L and 1.5L so that we can stop also the, I would say, the procedure that was in place since '24 for Atos, we will try to do both. But I would say the priority is 1L. Jacques-Francois, probably you want to...
Jacques-François de Prest: Yes, on the repurchase of bonds, so forgive me, I'm not going to give you a straight answer. However, I can tell you that what is guiding our actions is we are making a standard calculation of value and we are targeting the instruments where there is the better value.
Sam Morton: Okay. Sorry, can I just dive into that? So would you look at the lowest cash price? Or would you -- I mean, I'm just -- I mean, like what's the philosophy. You're looking at the lowest cash price? Or you're trying to facilitate the refinancing? I'm just trying to understand how you think about it.
Philippe Salle: Well, in the URD, which is going to be published next week, you will see that in '25, we have already bought a little bit of second lien bonds, a very tiny amount because it was not very liquid, but we have bought a little bit of 2L already in '25. Now we are looking at NPV, IRR. The first reason -- the first objective is to look at what's generating more money, what's -- because we are -- today, we consider we're a little bit in excess cash. We have some big proceeds coming on, namely with the proceeds for the closing of the advanced computing division in a few weeks. So we are trying to make the best use of our money.
Operator: [Operator Instructions] The next question is from the line of Derric Marcon from Bernstein.
Derric Marcon: I've got 4 questions, if you authorize me. The first one is on the range given for the guidance -- you gave for the guidance. So minus 50 plus or positive. Could you try to help us understand the difference between the low end of the range and the upper end of the range. At the bottom of the range, does it take into account significant revenue reduction with Siemens. And can you also explain us where you land with Siemens in 2025 versus 2024? And what do you expect in 2026? Just to understand if it's an important moving part in the construction of this range. My second question is on the -- your commercial momentum. If we look to the full qualified pipeline number at the end of 2025, it does not improve much compared to previous quarters despite FX. So I'm trying to understand here what KPI do you have to, let's say, assess a much better, as you said, not Q1, but maybe Q2 or Q3 or Q4? And do you see really this momentum improving quarter after quarter? Because, unfortunately, on our side, we can't see through that number. My third question is on CapEx. So as you said, really good performance in 2025 on that side. Do you expect CapEx to remain at the same level in 2026? Or will you be impacted by the massive price increase on memories? And what percentage of the CapEx of this EUR 150 million plus is linked to server plus memory, hardware, let's say. And that's it for me.
Philippe Salle: Okay. So on your first question on Siemens, roughly revenues of '25 was EUR 300 million. And this year, we anticipate the EUR 250 million plus. So it's only EUR 50 million, so it's less than 1% in terms of impact on the top line. Remember that with Siemens, we work with 3 different entities, in the Healthcare segment, Energy and Siemens AG. And in fact, we do roughly EUR 150 million plus and EUR 50 million, EU 50 million with the 2 others. And in fact, I would say there are also different dynamics with different accounts. But as I said, this year, we'll be at EUR 250 million plus because some of the contracts will stop also in the course of '25. But there is no, I would say, a big impact on Siemens, as you can see. Now between minus 5 and 0 plus, as you, as you say, we want to be cautious this year. I don't want to say we're going to grow, I would say, and sign it today. The goal, of course, for us is to do it. But we want to be a little bit cautious and give you a range between minus 5% and 0% plus, let's say, between minus 5% and plus 1%. And then you will pick the number you want. But I think it's a cautious stance in the beginning of the year, and we will have probably more to give in the course of this year. For the qualified pipeline, you're right, it's stable, but I think it's much more quality, I would say, for me than it was 1 year ago. And in fact, what makes me, let's say, more optimistic is that the win ratio is increasing right now. So I would say that the qualified, it's a pipeline where we are quite confident we can make a lot of wins in this pipeline. And then your last point was what about CapEx number. Remember that is going away. After that, I would say for Eviden, the chips, it's not a big problem for us. And in fact, for some of our data centers, most of our contracts will pass, I would say, the increase that we see from our providers directly, I would say, to the client. So there is no much risk in fact in terms of CapEx. The CapEx we are looking for this year is at EUR 100 million plus without -- So that's the target that we have for this year.
Derric Marcon: Can I add just a small follow-up because on your explanation on AI, very helpful and interesting. And I'm on the same line than you about compensating price deflation with volume on most activities you are doing. But I was wondering if this reasoning can apply or could apply to digital workplace and cloud and infrastructure and modern infrastructure because here, I struggle to understand you will get this price deflation for sure, but I don't see where the increased volume will come from.
Philippe Salle: Florin, you can explain that.
Florin Rotar: Yes. So it's a great question. So actually, if we go into the cloud and modern infrastructure, so we see a quite substantial uptick around the work that we're doing based on the sovereign movement. So there is -- it is a quite complicated area where clients need a lot of help, everything from advisory to try to understand which workloads they do sovereign and which version of sovereign and to move and redesign both the application and the infrastructure space from those areas. I would also say that we have substantially improved our partnership with a number of the hyperscalers. So we're driving a lot of additional new joint go-to-market campaigns and solutions in this space, which is acting as a net positive. And I would also say that on cloud and modern infrastructure, actually, AI is opening up new opportunities, which historically wouldn't have been possible to do for our clients. So as AI is making the modernization and the digitalization of legacy applications possible in a way which, frankly, again, wouldn't have been realistic or cost efficient in the past. That drives substantial requirements for infrastructure and cloud modernization. So AI is actually a tailwind for us in cloud and modern infrastructure. And when it comes to digital workplace, we are expanding the type of services we provide in digital workplace. So again, AI is, to some extent, a headwind because some of the services which we historically would have done with people are now done by agents, but we're able to improve our margins in that case. But we're also seeing AI act as a multiplier. So one of the key demands we see from clients is how to have their people truly be able to use AI constructively, usefully and in a meaningful way. So we're actually adding AI enablement and AI capabilities as part of our digital workplace services. We're also using AI to make the digital workplace experience a lot more enhanced to help with self-healing. So we're basically adding additional services, additional value-adding services in our digital workplace portfolio, which again are quite nicely balancing those tailwinds are nicely balancing the headwinds we would have had traditionally with digital labor replacing human labor. I hope that answers your question.
Operator: We'll now take the last question today. And the question is from Laurent Daure from Kepler Cheuvreux.
Laurent Daure: As for Derric, I have also 4 questions. First, I'd like to -- if you could come back on the way you have built your revenue plan for 2026. I mean, if you start the year with the first quarter close to minus 10, and you're not going to have much easier comps the following quarter. Does it mean that you're expecting to win sizable deals that will start during the year? Or what makes you so confident that you're going to end the year with strong growth in order to offset the first quarter? Then my second question is, first, thanks for the clarification on Siemens. But if you could share with us exactly your relationship with your clients as of today. And in particular, I understand that you have 2 more years of business. But do you already have a visibility on what's going to happen for that client as of 2028? And the last 2 questions, one is on the one-offs. At which timing do you expect the P&L to start to be quite clean with limited restructuring and provisions? Is it 2027? And the final question is on the nice improvement you're expecting on EBIT. Could you share a bit the building blocks to go from 4% plus to 7% the main savings, that would be helpful as well.
Philippe Salle: So on your first one on Siemens, so we have what we call -- that was signed in 2020. It was a 5-year plus 2 year contract. So there is 2 more years. But after that, in fact, in the course of what we want is not to have any -- whatever with Siemens. It's to continue with Siemens exactly the way we continue with other clients. We just answer tenders and one project. So in fact, in '28, we will continue to answer the tender and win some of the projects. In fact, and when you look at the backlog in Siemens, we have already revenues for '28 and '29 for some of the projects that we have won in fact in the course of '25. So I would say it's a normal client. There is no need, I would say, to resign whatever, it doesn't make sense. Also because, in fact, in the time that we have signed in 2020, you should know that there was a signing bonus that makes, in fact, the margin of the contract not that good. And in fact, now the margin has been restored in the course of '26. So we are quite happy on it. And the idea for me is to continue with the Siemens, like all other clients. There is no specific agreements that we need, I would say, with Siemens. And remember also that, as I said, Siemens, it's 3 different entities with 3 different, I would say, clients. So in fact, we have also client partners addressing the different entities of Siemens. Now for your second question. Of course, if we start at minus 10 and we want to be positive, there is no magic. We need to be a strong growth in Q4. That's the anticipation that we have. I cannot go into details on which contracts we want to win or not. It's too difficult to do that. And I'm not sure it's very useful. But of course, that, I would say, the goal that we have in our budget is that to be roughly at 0 plus in Q3 and then have an acceleration of the growth in the last quarter. And I would say that it would if we are able to be at 0 plus, it's a very good result for us because it means that we are have, let's say, growth going forward in the course of '27. The bar is high, Laurent, I don't say it's an easy one. Please be careful on that. Don't estimate that everything is easy. But of course, we have an ambition, and we definitely think that we have the pipeline and the projects to rebound, I would say, in the course of Q3 and Q4. For your other question, I don't remember. Yes, go on, Jacques-Francois.
Jacques-François de Prest: Well, I think, Laurent, you were asking when do we stop the one-offs and do we when do we have a P&L which is clean. Well, I think already '26. I mean, for me, the numbers we are publishing now are taking everything we know into account. So of course, in '26, we still have the continuation of the Genesis restructuring plan because we said that we booked a large chunk in '25. If you remember, the full envelope was EUR 700 million. So we're still a bit below. So there is still somehow -- a portion of that to come in '26. But beyond that, I would say that '26 already should be expected to be clean. That's the question on the one-offs. Your last question, I don't know if you want to take it, which is the further -- the building blocks of the path to the 9% to 10% margin.
Philippe Salle: I think yes, well, first, we were at 6% in H2. Remember that we have roughly EUR 200 million of savings of Genesis in the P&L coming this year. So if you start with EUR 300 million plus, plus the EUR 200 million, we are already at EUR 500 million, then you need to get rid, of course, we're going to have an increase of salaries and it's an impact of EUR 70 million plus. So your building block is EUR 314 million, plus EUR 200 million, minus EUR 70 million and then plus the other actions that we are going to take in the course of this year. But that's why we are quite confident on the 7% margin.
Laurent Daure: Philippe, if I could add on the new scope question on the seasonality of the margins because you improved nicely from first half to second half. But do you have part of that is coming from seasonality? Or going forward, do you expect when you will have stabilized the operations to have a similar margin level between the 2 halves?
Philippe Salle: In fact, it's going to be always more marginal in H2 than H1, but with less Eviden -- is out. And that's most of the explanation why H1 and H2 are very different. It's not going to be the case in the course of '26. So you will see a more stable revenue and I would say, EBIT stream between H1 and H2. But usually and all the companies, and it's the case of, there is more margin in H2 than H1, but not, I would say, like it was, in fact, in the course of '25, to a smaller extent. And remember that I said already in the CMD last year that there will be close to 0, I would say, nonrecurring expense in terms of cash in '28. We cash out, I would say, Genesis. So this year, we estimate that it's going to be between EUR 150 million and EUR 200 million. We have done EUR 450 million last year and then the rest in the course of '27. No more, I would say, cash out in '28. Same thing for the litigations, we estimate that most of the litigation will be done. And then for the black account, as I said, there will be probably only one in '28. So it will be, I would say, a small impact in terms of cash. So EBIT will be clean this year, but I would say, in terms of cash also it will be clean in the course of '27 and '28.
Operator: There are no further questions at this time. So I will hand the conference back to the speakers for any closing comments.
Philippe Salle: Okay. So thank you, everyone, for this long call. We are very happy as you have seen, I think the focus was on technology today because there were a lot of questions on our industry and also on Atos. Have a good day. And of course, we will talk to you probably for Q1 and in the coming months, and we are, of course, focused to the rebound of the company. Have a good day. Bye-bye.
Operator: Thank you. This concludes today's conference call. Thank you for participating, and you may now disconnect. Speakers, please stand by.